Operator: Good day, ladies and gentlemen and welcome to Geron’s Fourth Quarter and Full Year 2017 Earnings Conference Call. [Operator Instructions] Now I’d like to introduce your host for today’s conference Anna Krassowska, Head of Investor Relations. Please go ahead.
Anna Krassowska: Thank you, James. Good morning, everyone, and thank you for joining us for the Geron fourth quarter and year end 2017 earnings call. With me this afternoon are Dr. John Scarlett, our President and Chief Executive Officer; and Olivia Bloom, our Executive Vice President of Finance and Chief Financial Officer. On Friday we issued a press release that reported results for the fourth quarter and year ended December 31, 2017. This release can be found on our website at www.geron.com. Today’s call is also being webcast live on our website and will be available for replay through April 20. Before we begin, please note that except for statements of historical fact, the statements during this conference call are forward-looking statements under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These include, without limitations, statements regarding, the expectations; plans; timelines and prospects for imetelstat, including the continued development of imetelstat by Janssen through the IMbark and IMerge clinical trials, and data from the clinical trial suggest imetelstat is safe and effective, but Janssen will make a continuation decision and that Geron expects it to occur by the end of the third quarter of 2018, potential milestones and payments under the Janssen collaboration agreement and financial or operating projections or requirements. These statements involve risks and uncertainties that can cause actual results to differ materially from those in such forward-looking statements. These risks and uncertainties include without limitation whether imetelstat shows safety and efficacy in IMbark and IMerge, Janssen decides to continue developing imetelstat and provides a positive continuation decision and if so informs Geron by the end of the third quarter of 2018, the FDA or other help authorities or IRB’s or any other factors required that IMbark and/or IMerge be delayed or discontinued and Geron will actually receive continuation milestone and royalty payments from Janssen on the terms in the collaboration agreement. Additional information and factors that could cause actual results to differ materially from those in the forward-looking statements are contained in Geron’s periodic reports filed with the Securities and Exchange Commission under the heading Risk Factors, including Geron’s Annual Report on Form 10-K for the year ending December 31, 2017. Undue reliance should not be placed on forward-looking statements, which speak only as of the date they are made, and the facts and assumptions underlying the forward-looking statements may change. Except as required by law, Geron disclaims any obligation to update these forward-looking statements to reflect future information events or circumstances. We will begin today’s call with a summary of the 2017 fourth quarter and annual operating results from Olivia, and then Chip will review ongoing activities of the imetelstat clinical trials being conducted by Janssen. Olivia?
Olivia Bloom: Thanks Anna. Good afternoon. For the fourth quarter of 2017, we reported a net loss of $7.4 million or $0.05 per share, compared to $8.5 million, or $0.05 per share for the comparable 2016 period. For the year ended December 31, 2017 we reported a net loss of $27.9 million or $0.18 per share compared to $29.5 million or $0.19 per share for the comparable 2016 period. Revenues for the fourth quarter of 2017 were $191,000 compared to $94,000 for the comparable 2016 period. Revenues for the year ended December 31, 2017 were $1.1 million compared to $6.2 million for the comparable 2016 period. Revenues in 2016 included the full recognition of an upfront payment of $5 million from Janssen Pharmaceuticals Inc. under a license agreement that was signed in September 2016 for certain rights of specialized oligonucleotide backbone chemistry and novel amidates. Research and development expenses for the fourth quarter of 2017 were $2.5 million compared to $4.1 million for the comparable 2016 period. Research and development expenses for the year ended December 31, 2017 were $11 million compared to $18 million for the comparable 2016 period. The overall decrease in research and development expenses in 2017 compared to 2016 primarily is due to lower costs for our proportionate share of clinical development expenses under the imetelstat collaboration with Janssen Biotech Inc. and reduced personnel related costs. General and administrative expenses for the fourth quarter of 2017 were $5.5 million compared to $4.8 million for the comparable 2016 period. General and administrative expenses for the year ended December 31, 2017 were $19.3 million compared to $18.8 million for the comparable 2016 period. The overall increase in general and administrative expenses in 2017 compared to 2016 primarily is a net result of higher non-cash stock-based compensation expense and increase consulting cost partially offset by lower legal costs. Interest and other income for the fourth quarter of 2017 was $375,000 compared to $321,000 for the comparable 2016 period. Interest and other income for the year ended December 31, 2017 was $1.4 million compared to $1.2 million for the comparable 2016 period. The increase in interest and other income for 2017 compared to 2016 currently reflects higher yields on the company’s marketable securities portfolio. We ended 2017 with $109.2 million in cash and investments. For 2018 we are projecting an operating expense burn between $25 million to $30 million of which approximately $10 million to $12 million is expected to be for our proportionate share of cost to support the IMbark and IMerge trials under the Janssen collaboration. Approximately $8 million to $9 million for personnel related costs and approximately $7 million to $9 million for corporate cost such as business development, legal, accounting, IT and facilities. This projection does not include any changes to the imetelstat development program or any acquisition costs associated with acquiring a new oncology asset, program or company and any subsequent development cost related to such an acquisition. Of course, if such potential changes were to occur, we would need to update our projections and depending on the timing and magnitude of those changes, we would need to seek additional capital. Maintaining sufficient financial resources enables us to promptly respond to such potential changes. I will now turn the call over to Chip to review recent company events. Chip?
John Scarlett: Thanks Olivia. Good morning, everyone and thank you for joining. This morning I’ll start my remarks with a summary of the results from the latest internal data review conducted by Janssen on the IMbark, and an update on the projected timing of the protocol specified primary analysis for IMbark and the subsequent potential continuation decision from Janssen. I’ll then conclude with the status of the IMerge trial including a recap of the data that was recently presented at the American Society for Hematology or ASH Annual Meeting that was in last December. As a reminder, IMbark is a Phase 2 clinical trial designed to test two doses of imetelstat 9.4 milligrams per kilogram or 4.7 milligrams per kilogram administered every three weeks in intermediate-2 two or high-risk MF patients who are refractory-2 or have relapsed after treatment with the JAK inhibitor. The planned March 2018 data review was primarily conducted to enable a protocol amendment that will allow the long-term treatment and follow up of patients in the trial including for survival. And reviewing the data which was based on January 2018 data cut, the Collaboration’s Joint Steering Committee or JSC made the following observations. First, the safety profile was consistent with prior clinical trials of imetelstat in hematologic malignancies, and no new safety signals were identified. Second, outcome measures for efficacy including spleen volume responses and reductions in total symptom score remain consistent with the prior data reviews. Third, with a median follow up of approximately 19 months as of the January 2018 data cut, the median overall survival has not been reached in either dosing arm. Following the state of review, the JSC implemented a number of actions. First the trial is being officially closed to new patient enrollment. From the first enrolled patient in September of 2015 to last patient enrolled in October of 2016, more than 100 patients have been enrolled in IMbark. This number is expected to be adequate to assess overall survival. Patients who remain in the treatment phase may continue to receive imetelstat and until the primary analysis all safety and efficacy assessments are being conducted as planned in the protocol including following patients to the extent possible until death to enable an assessment of overall survival. Second, based on the rate of deaths occurring in the trial, the JSC determined that the IMbark protocol specified primary analysis which includes an assessment of overall survival will begin by the end of the second quarter of 2018. Upon the completion of the protocol specified primary analysis, the main trial will be completed. As a third action, the JSC determined that Janssen will amend the IMbark protocol to establish an extension phase of the trial to enable patients remaining in the treatment phase to continue to receive imetelstat per investigator discretion. During the extension phase, standard data collection will primarily consist of safety information. Patients will be continued to be followed for survival. The assessment of survival is important because we believe that in new treatment that could confirm improved would represent a meaningful clinical outcome for patients who are relapsed or refractory to the only approved MF treatment today. As experience with JAK inhibitors increases both in the real world and clinical trials settings, we know that the majority of MF patients fail or stop JAK inhibitor treatment and data from recent literature and other sources suggest that the survival of these patients is limited. For example, an analysis of real world data conducted by Janssen and presented at ASH in 2016 reviewed treatment patterns and outcomes of MF patients from two U.S. medical claims data basis. This analysis suggested that once patients fail or discontinue ruxolitinib mean overall survival is approximately seven months. Three other recently published an independent papers describing outcomes of MF patients after discontinuing JAK inhibitor treatment either in the context of a clinical trial or through commercial supply estimated median overall survival of approximately 14, 15 or 16 months respectively. That imetelstat potentially could address a significant unmet medical need if its uses associated with survival that is meaningfully longer than 14 to 16 months. Moving to Janssen’s decision again, as we’ve commented previously the completion of the protocol specified primary analysis for IMbark is the trigger for the continuation decision by Janssen. Following completion of that analysis, Janssen must notify us of their decision whether to maintain the license rights and continue the development of imetelstat or the continuation decision. With the protocol specified primary analysis for IMbark expected to begin in the second quarter of 2018, we expect Janssen to make its continuation decision by the end of the third quarter of 2018. Although the completion of the protocol specified primary analysis for IMbark is the trigger for the continuation decision by Janssen, we expect data from MDS - MDS from IMerge to contribute important information about imetelstat. So let me review that data that was recently presented at ASH in December. These data support our hypothesis that imetelstat may have the potential to suppress the proliferation of malignant progenitor cell clones to allow the recovery as a normal hematopoiesis in patients with hematologic malignancies. As we’ve described previously, IMerge is the ongoing trial with imetelstat in patients with lower risk MDS syndromes being conducted by Janssen. IMerge is in two parts, Part 1 is a Phase 2 open label single arm trial administering imetelstat intravenously every four weeks at a dose of 7.5 milligrams per kilogram. Part 2 not yet initiated is designed to be a Phase 3 study that will be conducted after Part 1 is completed and is designed to confirm in a randomizing control trial the efficacy and safety of imetelstat in the patient population as well as dosing used in Part 1. To be enrolled in IMerge, all patients must have relapsed after or be refractory to treatment within ESA. In addition, patients must be dependent on red blood cell transfusions requiring at least four units of red cells during an eight week period prior to entry to trial. Among the 32 patients enrolled in IMerge, red blood cell transfusions dependency was high, the median red blood cell transfusion burdened at entry to the trial with six units per eight weeks ranging from 4 to 14 units. In lower risk MDS patients chronic anemia is a predominant clinical problem. Treatment within erythropoiesis stimulating agent or ESA such as EPO can provide an improvement in anemia but the effect is transient. As a result, many patients become dependent on frequent red blood cell transfusions to manage symptoms of anemia and fatigue. Transfusion dependency is associated with poor survival because of toxicity associated with an overloaded, as well as potential infections and allergic reactions. The ultimate goal for most trials of investigational agents and lower risk MDS is to enable patients to become transfusion independent for as long as possible. Therefore the primary endpoint for both parts of IMerge is the rate or percentage of patients who achieve red blood cell transfusion independence for at least a consecutive 8 week period. This has been a key regulatory endpoint in many disorders associated with anemia and transfusion requirements. Secondary endpoint in IMerge includes the rate of 24 week transfusion independence and the rate of hematologic improvement. Hematologic improvement is the degree to which the frequency of transfusions is reduced and increases in serum hemoglobin levels observed. In addition, various measures have the durability of these transfusion in hematologic responses to imetelstat treatment are also being assessed for IMerge. Data presented at ASH were from the first 32 patients enrolled in Part 1 of IMerge using in October 2017 data cut with a median follow-up of 66 weeks. I’ll give the results of the whole 32 patient cohorts first. 38% of these patients achieved red blood cell transfusion independence lasting for at least 8 weeks. 16% of patients did not require a transfusions for at least 24 weeks with the median duration of transfusion independence exceeding one year and sustained rises in hemoglobin by at least 1.5 grams per deciliter from pretreatment levels. These efficacy results represent clinically meaningful outcomes with a profound impact on a patient’s quality of life and provide further support of data that imetelstat exhibits potential disease modifying activity by suppressing the malignant progenitor cell clones that drive the underlying disease. It’s also worth noting that almost all patients experienced some reduction in transfusion burdened with the average relative transfusion burdened being reduced by approximately two-thirds compared to baseline levels. Also the rate of greater than eight week red blood cell transfusion independence did not differ based on the presence of ring sideroblasts indicating activity of imetelstat across different subtypes of MDS. Now in addition to the analysis of all 32 patients in Part 1, Janssen also evaluated the results of imetelstat treatment in a subset of patients would receive certain prior treatments which I would like to comment on next. So to set the stage for evaluating the results of imetelstat treatment in this subset of patients, let me first comment that in the U.S. hypomethylating agents or HMAs are approved for the treatment of both lower risk and high risk MDS patients. And the immunomodulatory agent lenalidomide is approved for the approximately 15% of lower risk MDS patients, they have a deletion the short arm of chromosome 5, the so-called del(5q) abnormality. Physicians in the U.S. particularly outside of the main academic centers use both HMAs and lenalidomide broadly in lower risk MDS because there are limited alternative treatment options available. In contrast, in Europe HMAs are not approved for lower risk MDS nor is lenalidomide approved for non- del(5q) patients. As a consequence very few if any lower risk European patients are treated with either lenalidomide or an HMA at least until other disease progresses and they can be characterized as higher risk MDS patients. The original inclusion and exclusion criteria in IMerge did not restrict the number or type of other prior MDS patients but the treatments of patient was allowed to have received before entering the trial. Among the 32 patients enrolled in Part 1 we subsequently observed that a subset of 13 patients had not received prior treatment with either in HMA or lenalidomide and also did not have a del(5q) chromosome abnormality. This 13 patient subset showed remarkably increased durability and rate of transfusion independence compared to the overall trial population. 54% of these patients achieved red blood cell transfusion independence lasting for at least eight weeks while 31% achieved an RBC transfusion independence lasting for at least 24 weeks compared to 38% and 16% respectively in the overall trial population. These were very impressive efficacy outcomes. From a safety perspective, imetelstat’s profile in Part 1 was consistent with prior clinical trials of imetelstat in hematologic malignancies and no new safety signals were identified. The adverse events were similar between the overall trial population in the 13 patient subset. The most frequently reported adverse events were cytopenias which were predictable, manageable with those reduction or delays and reversible in most cases. Cytopenias included Grade 3 and Grade 4 neutropenia and thrombocytopenia. Dose reductions or cycle delays due to adverse events were required for 59% of patients. In addition to the posted ASH in which these results were reported, these data were also discussed in detail by Dr. Azra Raza, an MDS Expert in one of the clinical investigators to IMerge during an event for investors that we hosted at the end of last year. The webcast of that event is still available on our website and if you haven’t already listened to it, I would encourage you to do so. We and Janssen believe that the results from the 13 patient subset who were naïve to lenalidomide and HMAs and who lacked the del(5q) chromosomal abnormality suggested imetelstat could offer lower risk MDS patients a much needed alternative prior to preceding to HMAs and lenalidomide treatment. Lower rates of eight week transfusion independence have been reported previously for both HMAs and lenalidomide in similar lower risk MDS patient populations. In comparison to the 54% eight week transfusion independence rate observed for imetelstat, the rate observed for HMAs was 17% and 27% was observed for lenalidomide with no better safety profiles at imetelstat. As such we expect of targeting this lower risk MDS population would not reduce the population of patients potentially eligible for imetelstat but instead sequence imetelstat ahead of HMAs and lenalidomide in the treatment paradigm. As we announced in July last year, Part 1 of IMerge was reopened to enroll approximately 20 additional patients who are non-del(5q) and naïve to HMA and lenalidomide treatment. This is intended to increase the experience and confirm the benefit risk profile of imetelstat in this refined target population. With the approximately 20 additional patients, the total number of patients in Part 1 who are representative of the refined target patient population will be approximately 30 which was the sample size originally proposed in the protocol for Part 1 on which a decision to move to Part 2 would be based. Enrollment of Roman of patients to the expanded Part 1 began in November of last year and was completed in November of this year which was faster than anticipated highlighting both the unmet need in this patient population, and interest in imetelstat among clinical investigators. So we look forward to this very important year for imetelstat and Geron. Before we open the call to questions, I will mention that our search and evaluation process to identify and evaluate oncology products programs or companies for potential acquisition continues. So with that Operator, let’s open the call to questions please.
Operator: [Operator Instructions] Our first question comes from Charles Duncan with Piper Jaffray. Your line is now open.
Charles Duncan: So had a couple of questions, I’ll try to be quick. First of all with regards IMbark protocol amendment to allow patients to remain on drug following the primary efficacy analysis. Chip, I’m wondering if you could provide us a little bit more color. Is that really driven by some blinded clinical observations or you see it just as good practice. And can you provide any color on the number of patients that remain on drug out of the roughly 100 enrolled?
John Scarlett: Well, first of all the amendment to continue to follow patients predominantly for survival is really mostly based on the - couple of things I’d say. First of all, it’s technically required because we were at the end of the specified treatment period in the original IMbark protocol that was begun quite a few years ago now. So in order to continue to follow patients, we just needed to amend the protocol get approved through ethics committees and so forth. So that’s really I would say the principal driver. And obviously the reason we wanted to do that is because we still have not seen median survival reached in either of the arms or either the original arms in the study. So we’d like to continue at least through that point of time. So that really dictates the protocol amendment predominantly one of timing. Sorry the second question that you had was?
Charles Duncan: You probably can’t answer this, but in terms of the number of patients that remain on drug, do you have any information on that that you can provide?
John Scarlett: No, we’ve not been giving those numbers as we’ve gone along and I think we’re going to continue to not to do so.
Charles Duncan: And then you did nice job summarizing some recent reviews of what happens to patients post JAK inhibitors and what to expect there at least historically. And I guess I’m wondering when you consider the patient population of MF patients that have been on the JAK inhibitors in the trial, do you think that the sample is reflective of the broader patient population and if so could you help us understand are they all Jakafi post, Jakafi patients. Or are there some of the patients who been on JAK inhibitors in clinical trials other than Jakafi.
John Scarlett: So, I do think that this population was quite similar to the broader patient population that comes from a couple of observations. First of all we had really no specified exact type of JAK inhibitor that was previously the patient’s had to have been previously exposed to. Obviously the vast majority of them were exposed to Jakafi itself to ruxolitinib, but we certainly had modest numbers of patients who had been exposed to other potential JAK inhibitors. I would call out particularly momelotinib, fedratinib, and pacritinib, I’m not sure the exact numbers. I would say probably the majority just because of when the timing of the study was momelotinib but there have been as far as I recall at least small numbers of pretty much - all of the investigational agents at one-time or another after patients had failed them. But the vast majority were actually - clearly post Jakafi or ruxolitinib.
Charles Duncan: And last question is hopping over to IMerge. The update - I guess I’m wondering when would you anticipate a next update and could this perhaps be at or before Janssen continuation decision?
John Scarlett: I think it’s unlikely - this is my own opinion and we haven’t - I don’t have a specific reason for saying it. But I think it unlikely that we’ll be giving any specific information between now and then. Obviously, we try to hold most of our data for scientific meetings and we’re still ways away from the typical meeting where this would go which would be ASH the end of the year. But I don’t really know, I mean we haven’t really discussed these precise plans for either publications of topline or revelation of topline data or for that matter other possible abstracts. So I don’t really know right now, I wouldn’t be holding my breath. So I think that this data is maturing very nicely and so let’s wait and see.
Operator: Our next question comes from Chad Messer with Needham and Company. Your line is now open.
Chad Messer: So for IMbark, it seems like the promise here is a drug for JAK failures that has potentially a good survival benefit, but perhaps not as much efficacy on some of the traditional efficacy parameters like spleen volume. Is that fair characterization of what the data telling us so far and if so does that make mechanistic sense?
John Scarlett: So it’s a very interesting and good question. I think one of the things that we pointed out in the past and I would point out again, is that when most people think about spleen volume response rates and for that matter, Total Symptoms Score reductions, they really hearken back to the original rather I thought impressive data shown by ruxolitinib in frontline patients and in fact not only in frontline patients but really the first patients to ever be exposed to JAK inhibitor in anyway shape or form. And you’ll recall that there was a fair amount of variability even there. The FCR in COMFORT-I which was the U.S.-based study was 42% in patients who were treated with ruxolitinib frontline remember again frontline. In COMFORT-II the European study that same basic population of patients, the FCR was 29%. And then I think the other thing to look at than is to say all right, well if we’re not in frontline which we are definitely not in frontline. We are in patients who are at the far end of the other part of that - of the spectrum. If you look at some of the - for example the momelotinib data not necessarily with regard to momelotinib but even with regard to the best available therapy arms, right. So in SIMPLIFY-2 the best available therapy are included 88% of those patients got ruxolitinib. Now these are patients who are second line exposed. And there they only had a 5.8% spleen volume reduction by the typical methodology. PERSIST-2 showed - had about half of the patients roughly had ruxolitinib treatment in their BAT arm and that was only 3%. So my point is really that when you take second line patients or in our case truly relapse refractory patients, I think looking at spleen volume response rates and trying to judge those against first time ever exposed to JAK patients very early on relatively early on in their treatment paradigm, I think you can be misled. So that’s why we’ve actually ended up looking predominantly at survival which is the ultimate outcome that everybody cares about. So I personally believe that patients would not be staying on drug if they were not getting benefit and I also think that if we are able to confirm significant survival benefit in these patients who really have no other alternatives that this will be potentially a very useful drug. How that plays out in a regulatory process and so forth, I’m not a 100% sure nobody is. But I do think that we should not overlook the relative value of other measures beyond spleen volume response. And especially in drugs that are not really designed specifically to reduce the products of the disease that are thought to be related to spleen volume increase.
Operator: Our next question comes from Alex Schwartz with Stifel. Your line is now of open.
Alex Schwartz: So the first question I had, can you talk more about the 4.7 mg/kg arm and if these patients remained on that dose the entire time or was the proposed Janssen protocol moment accepted and at what months did these patients crossover to higher dosing?
John Scarlett: So there are patients who remained in 4.7 milligram per kilogram arm and did not crossover to the 9.4. I don’t think we’ve ever actually given any specifics around that, but it was and I’m trying to remember exactly when we implemented those protocol changes.
Olivia Bloom: It was in October 2016, that’s when we did that first - Janssen did the first data review and it was at that time determined that the low dose arm, the 4.7 mg/kg didn’t warrant further investigation. So, patient enrollment in that arm was closed, a protocol amendment was processed at that time giving the investigators the option, whether to leave their 4.7 patients on that arm or they could dose escalate to 9.4 that was based on investigator choice.
John Scarlett: So that was at the end of - towards the end of 2016 and that’s when some patients a dose escalated up to 9.4. But there were a meaningful number of patients who remained on 4.7. So did that answer your question?
Alex Schwartz: Yes, it did. Thank you. And then a second question I had, kind of given the unmet need in MF patients after Jakafi and your OS data to-date and maybe a more permissive FDA. Any sense that you need to run a Phase 3 trial and what size might that be? Or rather the Phase 2 data that you have today and maybe 100 patients may be sufficient for FDA filing? Kind of any thoughts around that?
John Scarlett: Well obviously, anything that I would say would be highly speculative. We’re still in the midst of a lot of development here. I’ll give you some general thoughts Alex about that. The first one is that I would say that, and you actually you actually prefaced the question with - some interesting prefaces, one of them was a more permissive FDA. I don’t know if that’s true or not, but I would say the following. Historically as I think everyone on the call probably knows, you need a control arm in order to make a correct and an appropriate scientific assessment of overall survival because you can be surprised by relative changes in patient populations and so forth. And so that’s historically been the regulatory standard would be to present OS data in the context of a control arm. We don’t have a control arm here, so that’s why we’ve been using historical data and have kind of upended the data - the literature in order to look for that. I don’t - I will say this, I think that you can make broad generalizations as we have here about what we’re seeing and how it compares to the literature which is now fairly consistent 14 to 16 months appears to be the median OS for patients in a number of different follow up studies carefully done in academic centers in terms of median OS after failing or coming off of JAK inhibitors and predominantly ruxolitinib. So you can judge we haven’t - as you also prefaced we haven’t reached the median OS yet. How that will play out regulatorily will demand really some careful thought around the world and also probably some level of interaction with experts. At the moment, I don’t think we’re prepared to say what our plans are with regard to that whether there will be an NDA filed, whether there will - how that will actually go forward. We wouldn’t want to be getting out ahead of some of those discussions and we still kind of need to reach meeting OS, in order to really know where we are. So that’s where I would say, - things stand today.
Operator: Our next question comes from Philip Lee with Mangrove Partners. Your line is now open.
Philip Lee: I have two quick questions. The first is, when you enrolled the IMbark trial were there any minimum platelet counts necessary for the patient to enroll or is there any information you can give us regarding their platelet accounts?
John Scarlett: Yes, we required at least 75,000 platelets.
Philip Lee: And my second question is, if you could give us any additional data regarding the ECOG Status? And how that’s stratified between 0, 1 and 2 at baseline for people enrolled in IMbark?
John Scarlett: We have not released that. That would be part of a publication, that’s usually not something that’s focused on as much in this field. So even though, I appreciate your interest in the subject. So we haven’t really given that.
Operator: Thank you. This concludes our question-and-answer session for today. So I’d like to turn the conference back over to Anna Krassowska.
Anna Krassowska: Thank you everyone for joining us this morning. I just wanted to make a note that we will be attending the Needham Healthcare Conference next week on March 27. So maybe we’ll see some of you there and we will be giving a webcast presentation. So, thank you all.
Operator: Thank you. Ladies and gentlemen that does conclude today’s conference. Thank you very much for your participation. You may all disconnect. Have a wonderful day.